Operator: Greetings, and welcome to the Northwest Pipe Company Fourth Quarter and Full Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Scott Montross, Chief Executive Officer for Northwest Pipe Company. Please go ahead, sir.
Scott Montross: Good morning, and welcome to Northwest Pipe Company's fourth quarter and full year 2024 earnings conference call. My name is Scott Montross, and I am President and CEO of the company. I'm joined today by Aaron Wilkins, our Chief Financial Officer. By now, all of you should have access to our earnings press release which was issued yesterday, February 26, 2025, approximately 4 PM Eastern Time. This call is being webcast and it is available for replay. As we begin, I would like to remind everyone that statements made on this call regarding our expectations for the future are forward-looking statements, and actual results could differ materially. Please refer to our most recent Form 10-Ks for the year ended December 31, 2023, and in our other SEC filings for discussion of such risk factors that could cause actual results to differ materially from our expectations. We undertake no obligation to update any forward-looking statements. Thank you all for joining us today. I'll begin with a review of our 2024 performance and outlook for 2025. Aaron will then walk you through our financials in greater detail. We delivered strong results in 2024, achieving record financial and operational performance in a complex market environment. Our annual net sales of $492.5 million were one of the highest in our company's history, increasing 10.8% over 2024 in what I would call a decent but not remarkable SPP bidding market environment, with an added element of depressed market conditions on the non-residential side of our precast business impacting our volumes. However, our strategy led us to produce record consolidated gross profit dollars as well as record profitability that was consistent with our free cash flow generation, both of which translated to $3.40 per share, demonstrating the strength and quality of our earnings. Most importantly, we achieved record safety performance in 2024, with a total recordable incident rate of 1.25, underscoring our unwavering commitment to the well-being of our employees, as well as demonstrating a stable operating environment. To further break down our segment level results, revenue from our SPP segment totaled a record $337.9 million in 2024, up 14% year over year. Our performance reflected higher production levels resulting from ongoing strength in our backlog due to the consistent level of bidding as well as changes in project timing. Our SPP backlog, including confirmed orders, increased to $310 million as of December 31, from $282 million as of September 30, 2024, and was down slightly from $319 million as of December 31, 2023. The bidding environment is expected to remain fairly consistent in 2025. Our SPP team has continued to do a great job executing on bids and projects. However, our 2024 performance was partially offset by lower realized selling prices due primarily to lower raw material costs. While steel prices declined throughout 2024, they have been on the rise in 2025, now in the $850 per ton range, up approximately $125 from the end of January, with lead times standing at about six to eight weeks. Though still well below levels from a year ago, we believe the recent steel tariff overtures will help support higher steel pricing in 2025 and, in turn, support higher SPP project pricing. In general, we are in favor of higher steel prices, which are positive for our SPP business. Now turning to our precast segment. Precast revenue increased 4.5% year over year to a new annual record of $154.6 million, despite ongoing challenges in the non-residential construction market. Our performance was driven by continued strength on the residential side of our Geneva business, as strong demand led to higher production and shipment levels. While our volumes were very healthy, reduced shipments on the non-residential construction-related portion of our precast business at Park partially offset some of this strength, as the current higher interest rate environment has continued to affect the market for commercial construction. However, the Dodge Momentum Index was 19% higher in December 2024 than it was the previous year, indicating growing strength in the non-residential construction market in 2025. The commercial sector was up 30% versus the prior year period, while the institutional sectors remained fairly flat. On the pricing side, while the residential portion of our precast business benefited from multiple price increases throughout 2024 driven by strong demand at the Geneva locations, low demand and downward pricing pressure on our non-residential precast business more than offset these benefits. As of December 31, our precast order book surged to $61 million, which was up from $57 million as of September 30, 2024, and a significant increase from $46 million as of December 31, 2023, indicating strong momentum heading into 2025. Importantly, a fairly large portion of the year-end precast order book surge was on the Park non-residential side of our precast business. The order book on the residential side of our precast business at Geneva remains stable at strong levels. Our consolidated gross profit in 2024 was another record $95.4 million, up 22.9% year over year, and resulted in a strong gross margin of 19.4%, up from 17.5% in 2023. This is the strongest annual gross margin we have reported for the current SPP and precast configuration of the company. Our SPP gross margin of 18.5% was also strong, increasing by approximately 420 basis points over 2023, primarily due to higher production volumes. Our precast gross margin of 21.2% from 2023 primarily resulted from changes in product mix, while margins on the residential construction side of the Geneva location strengthened versus last year. Lackluster demand on the non-residential commercial construction portion of our business resulting from higher interest rates has led to some margin compression. Next, I would like to provide an update on our free cash product spread strategy, which has been a crucial element of our top strategic priority to grow the business. As part of level one product spread, we bid over $57 million worth of projects outside of Texas in 2024 and booked approximately $10 million worth of orders, achieving our goals for the year. This endeavor enhanced capacity utilization at our Texas-based precast plants and helped maximize overall efficiency and production volume. As part of our level two, we gained additional traction on product spread at the Geneva plant in Utah by booking approximately $2.3 million of Park-related projects in 2024. And finally, as part of level three product spread, we are in the process of expanding Park and other precast-related products to additional Northwest Pipe legacy locations now that the Park precast products are more comfortably established at the Utah Geneva locations. Our new goal for 2025 is to book in excess of $12 million worth of Park-related projects outside of Texas. We expect level three will be put into place by midyear and will begin to benefit our results more in 2026 and beyond. Additionally, we are continuing to organically invest in our footprint and equipment to drive capacity expansion and greater efficiencies. We are pleased to complete the reinforced concrete pipe and manhole mill at our Salt Lake City, Utah facility and are in the process of commissioning. As a reminder, this investment provides the rapidly growing Geneva operations with additional production capacity and capabilities. It is our intention to continue to invest in our precast facilities to drive organic growth. We are also investing to maximize efficiencies in our other Northwest Pipe legacy SPP plants. In addition to our focus on organic growth, we are actively evaluating M&A opportunities in the precast-related space that would help accelerate progress on our precast strategy by increasing our manufacturing capabilities and production efficiencies and expanding our geographic reach and product portfolio. Concurrent with our growth plans, we are actively repaying the debt we incurred to finance the 2021 acquisition of Park USA. In 2024, we repaid $26 million of our debt, and our balance sheet remains healthy with ample liquidity. As I've mentioned, we will opt to repurchase shares of our common stock as we did this past year in the absence of a viable M&A opportunity. Before I conclude, I'd like to summarize our outlook for the first quarter of 2025. In our SPP business, we anticipate modestly lower revenue versus the first quarter of last year related to product mix and the continuing impact of nationwide weather events. Due to typical seasonality and severe weather conditions that have led to unscheduled downtime at our various SPP facilities, however, we expect margins to be similar to the first quarter of last year. That said, we entered 2025 with a strong SPP backlog, and while we expect a light bidding environment in the first quarter, we anticipate strong bidding activity in the second and third quarters, with full-year bidding levels aligning closely with 2024. We continue to remain encouraged by the amount of activity we're seeing on our current and upcoming water transmission projects. For a more complete view of these projects, please review our investor presentation, which can be found on the Investor tab of our website within the Events and Presentations section. In our precast business, we entered the year with a robust order book and are projecting a strong 2025. The residential business remains strong, and we are now seeing a surge in the non-residential order book, indicating improved strength in 2025. For the first quarter of 2025, our precast revenue and margins are expected to be as good or higher than the first quarter of 2024 due to higher production levels and associated better absorption as well as the growing strength of our order book. We continue to believe in the strength of the precast business in the mid to long term given the significant level of pent-up demand specifically for residential housing and the growing need for infrastructure spending in the U.S. and our growing market position. On a consolidated basis, we expect the first quarter of 2025 to be relatively similar to the first quarter of 2024, as weather events in various locations across the country continue to have an impact. In summary, I'm very pleased with our record 2024 performance across various metrics. I'd like to thank our talented team at Northwest Pipe for their strong execution of our growth strategy in a highly complex market environment and for executing another record safety year. We look forward to benefiting from a solid bidding market and precast order book in 2025. Looking ahead, our priorities are to, one, maintain a safe workplace where employees are proud to work, two, focus on margin over volume, three, continue cost reductions and efficiencies at all levels of the company, four, intensify our focus on strategic acquisition opportunities to grow the company, and number five, in the absence of M&A opportunities, return value to our shareholders through opportunistic share repurchases. I will now turn the call over to Aaron, who will walk through our financial results in greater detail.
Aaron Wilkins: Thank you, Scott, and good morning, everyone. I'd like to echo Scott's sentiments surrounding the company's back-to-back record safety year. We hold safety as the core value most important to our corporate culture. We believe our team's success with workplace health and safety has a direct correlation to the financial performance I'm about to take you through. Again, congratulations to the entire company on this outstanding accomplishment. Now I'll discuss our record year and fourth-quarter profitability. Consolidated net income for the quarter was $10.1 million or $1.00 per diluted share, compared to $5.4 million or $0.54 per diluted share in the fourth quarter of 2023. I'd also note that our profitability benefited from the realization of previously uncertain tax positions. As anticipated, this reduced our effective income tax rate and resulted in a favorable impact of approximately $2.3 million on our net income in the fourth quarter of 2024. Without this unique item, our consolidated net income for the quarter would have been approximately $7.8 million or $0.77 per diluted share. There was no line item included in our earnings per share for the fourth quarter or full year of 2023. For the full year 2024, consolidated net income was a record $34.2 million or $3.40 per diluted share, compared to $21.1 million or $2.09 per diluted share in 2023. Our fourth-quarter consolidated net sales increased 8.6% to $119.6 million compared to $110.2 million in the year-ago quarter. Steel Pressure Pipe segment sales in the quarter increased 9.9% to $82.5 million compared to $75.1 million in the fourth quarter of 2023. The improvement was primarily driven by an 11% increase in tons produced, resulting from improved market demand and a continued solid bidding environment as well as changes in project timing. Precast segment sales in the fourth quarter increased 5.9% to $37.1 million compared to $35.1 million a year ago. This was driven by a 23% increase in volume shipped as demand at our Geneva operations in Utah remained strong, which was partly offset by continued softness in commercial construction demand in Texas. Additionally, our precast sales were negatively impacted by a 14% decrease in selling prices resulting from changes in product mix. As a reminder, the products we manufacture are unique. Shipping volumes in the case of precast, production volumes in the case of steel pressure pipe, and the corresponding average sales prices for both segments do not always provide comparable metrics between periods, which are highly dependent on the composition of each segment's product mix. Our fourth-quarter consolidated gross profit increased 16.3% to $22.4 million or 18.8% of sales, compared to $19.3 million or 17.5% of sales in the fourth quarter of 2023. SPP gross profit increased 32.2% to $14.8 million or 17.9% of segment sales, compared to gross profit of $11.2 million or 14.9% of segment sales in the fourth quarter of 2023, primarily due to higher production volume resulting from improved market conditions, as well as changes in product mix. Further, our steel pressure pipe margins were negatively impacted by tariffs enacted on foreign steel starting in July 2024. Regardless of our ongoing dispute over the applicability of these tariffs and their retroactive application, our gross profit was reduced by $0.8 million during the quarter. If we are unsuccessful in disputing the merits of our steel sourcing for the handful of jobs affected, we expect the future incremental costs associated with these previously enacted tariffs to be approximately $0.8 million and realized over the next two quarters. We intend to work vigorously to defend the company's position regarding this matter. Precast gross profit decreased 5.4% to $7.7 million or 20.7% of precast sales from $8.1 million or 23.2% of segment sales in the fourth quarter of 2023, primarily due to changes in product mix, specifically the higher proportion of shipment volume derived from lower-margin commercial products. Selling, general, and administrative expenses for the quarter increased 12% to $11.9 million or 10% of sales, compared to $10.7 million in the fourth quarter of 2023 or 9.7% of sales. The increase was primarily due to higher incentive compensation expense, including for both cash-based and share-based programs. Our non-cash share-based compensation expense in the fourth quarter of 2024 was $1.2 million compared to $0.6 million in the year-ago quarter. For the full year, our selling, general, and administrative expenses increased 7.7% to $47.2 million from 9.6% of consolidated net sales, compared to $43.8 million or 9.9% of sales in 2023, also due predominantly to higher performance-based incentive compensation program costs. For the full year 2025, we estimate our consolidated SG&A expenses to be in the range of $47 million to $50 million. Depreciation and amortization expense in the fourth quarter of 2024 was $4.8 million compared to $4 million in the year-ago quarter. For the full year, depreciation and amortization expense was $19.1 million compared to $15.8 million in 2023. We expect depreciation and amortization expense to be approximately $18 million to $20 million for the full year 2025. Interest expense decreased to $0.9 million from $1.1 million in the fourth quarter of 2023 due to a decrease in average daily borrowings. For the full year, interest expense increased to $5.7 million compared to $4.9 million in 2023, and for the full year 2025, we expect interest expense to be approximately $3 million. Our 2024 income tax expense was $8.2 million, resulting in an effective income tax rate of 19.3%, compared to $8.2 million in the prior year and an effective income tax rate of 28%. As previously discussed, our effective income tax rate for 2024 was significantly impacted by the realization of uncertain income tax positions due to a lapse in the statute of limitations from the year the tax attribute originated. This resulted in a favorable impact on our fourth quarter and full-year provisions of approximately $2.3 million. In 2023, the effective income tax rate was primarily impacted by nondeductible permanent differences, accrued interest on uncertain income tax positions, and state income tax rates. We expect our tax rate for the full year 2025 to be within the range of 24% to 26%. Now I'll transition to our financial condition. We generated strong cash flows in 2024. For the quarter, net cash provided by operating activities was $36.1 million compared to $9 million in the fourth quarter of 2023. For the full year, we generated net cash provided by operating activities of $55.1 million, a modest increase from $53.5 million in 2023 due to our improved profitability, partially offset by a reduction in cash provided from working capital. Additionally, our full-year free cash flow of $34 million was better than anticipated due largely to shifting working capital needs in our steel pressure pipe business, which will vary quarter to quarter. For the full year 2025, we anticipate free cash flow to range between $23 million and $30 million. As we've previously emphasized, enhanced cash generation remains a key focus of our leadership team. Our capital expenditures for the fourth quarter were $4.2 million compared to $5 million in the fourth quarter of 2023. For the full year 2025, we anticipate our CapEx to be in the range of $19 million to $22 million, including about $5 million in various investment projects, most notably to support the precast product spread as well as initiatives to grow revenues at both our Park and Geneva businesses to $100 million in the near term. As of December 31, 2024, we had $24.7 million of outstanding borrowings on our credit facility, leaving approximately $99 million in additional borrowing capacity on our credit line. We remain committed to our capital allocation strategy that is duly focused on both growth and providing stockholder returns, including our anticipated adoption of a new share repurchase program from which we expect to start transacting early in the second quarter. In summary, we are extremely pleased we have achieved new annual performance records in safety, revenues, gross profit, and earnings per share. We believe our steel pressure pipe and precast businesses remain well-positioned in 2025 and beyond the new level of through-cycle resiliency achieved through our growth into Precast. Thank you again to our dedicated employees who made these achievements possible and to our shareholders for their continued trust and support of Northwest Pipe Company. I will now turn it over to the operator to begin the question and answer session.
Operator: Thank you. At this time, we'll be conducting a question and answer session. A confirmation tone will indicate your line is in the question queue. Our first question comes from the line of Julio Romero with Sidoti and Company. Please proceed with your question.
Julio Romero: Thanks. Hey, good morning Scott and Aaron. Hey. You guys had a pretty strong free cash flow year in 2024. You know, very similar and impressive 2023 free cash flow. Just talk about, you know, your expectations for 2025 on the free cash flow front and how you're thinking about managing the variability of cash flow between quarters, especially as, Aaron, you alluded to in your comments that, you know, the shifting working capital needs of the SPP portion, especially as that becomes kind of a stronger portion of the business.
Scott Montross: You know, Julio, what I would tell you is I think a big part of the focus on cash flow has been a focus on mining the cash that's tied up in current assets specifically related to the SPP business. And ultimately, as we said last year, we made that an item for everybody's variable compensation that's in the management group. So there's a lot of attention on cash flow all the time. In fact, we get a report every day that tells us how much cash has come into the company, where we are for every month, and it's always a focus and a goal to try to make sure we're getting more cash in than revenue we're recognizing in a specific month or time period. So it's really the focus on that. And I think that, and I'll let Aaron talk about the first quarter a little bit. I think we're coming into the first quarter cash flow-wise. It's going to be a little bit different than what we saw last year with the negative cash flow in the first quarter. But there's so much focus on that. The belief is that our cash flow should either be as good or improve versus where we were in 2024. So it's a big focus. It's looked at every day, and it's part of everybody's goals in the company. So you want to talk a little bit about the first quarter?
Aaron Wilkins: Yeah. At the end of 2023, we really didn't have the billings that we needed to have a strong cash flow in the first quarter of 2024, which is why we started the year so slow and came on through the course of the year. This year is shaped up to be much different due to a lot of things Scott just talked about. You know, we really had a strong billings performance for our steel pressure pipe business in the last quarter of the year, and things have proceeded pretty well into the first quarter, which will set us up for, I think, better performance than you saw. And I would guess, Julio, that we'd probably be pretty ratable to my estimate in the first quarter and maybe have a little bit of a softer second quarter, but then progress up and kind of see things improve through the balance of the year with the cash flow getting to that $23 to $30 million range that we talked about.
Julio Romero: Got it. Very helpful there. And then you guys mentioned expecting the bidding environment for SPP to remain on balance fairly consistent for the full year of 2025. But can you also kind of talk about the industry capacity as it currently stands for additional work, especially given fewer industry participants compared to previous cycles? And what that means for the profit outlook for 2025 and maybe even beyond that, even though the bidding environment is kind of fairly stable.
Scott Montross: Yeah. You know what, Julio, and we haven't talked about capacity in quite a while, but as far as having a rated capacity on just our SPP business, we probably have the ability to do about 180,000 tons of rated capacity a year. Now, when you start looking at that and saying, well, that's rated capacity, that's if you're running the optimum mix of whether it's, you know, 72 to 96 in certain gauge ranges to be able to produce a certain amount of tons. And then you look down and say, well, okay, so what is practical capacity? So practical capacity for us is probably about somewhere in the area of 135,000 to 140,000 tons. And we have approximately half of the capacity in the marketplace. So total market capacity is likely someplace in the area of about 300,000 to 325,000 or 330,000 tons. And even with the expectation coming with IIJA, I think that there's more than enough capacity in the market to be able to do that. Now for us, remember, in most instances, we're only running one shift at these steel pressure pipe plants. So if you start running multiple shifts at these steel pressure pipe plants, you can scale up pretty quickly to be able to handle way more than the market's ever going to be able to give to us. So we don't have any concerns at all about our ability to handle the higher tonnage production levels that we expect the IIJA funded projects out in 2026, 2027, 2028, 2029 are going to go and put forward. So don't think we have any issue with that. In fact, we welcome that.
Julio Romero: Very helpful there. And then, you know, on the precast side, you talked about the surge in the precast order book that you experienced at year-end and that being weighted towards the Park non-residential side. Just if you could just speak to how that translates to the non-res portion, maybe in the cadence of that as we progress throughout 2025.
Scott Montross: Yeah. I think we start with, you know, a reference to, you know, watch the Dodge Momentum Index, you know, and that's really non-residential related commercial institutional stuff, and that really has held relatively strong through 2024. And why that's important is these generally are representative of projects that go in planning generally about twelve months before they start getting produced. Right? So ultimately, projects are going into planning, and then there's a gap of time before orders start getting placed, and then they start getting shipped to the customer and produced. So we saw this bubble coming through, not a bubble, but the surge coming through the pipeline in the Dodge Momentum Index through 2024, and it just so happens that it started to translate into the order book at really the non-residential facilities that we have for Park USA. And the order book has grown to relatively strong levels through year-end, which normally doesn't happen, which bodes well for the production and shipment of non-residential projects in 2025. And we're starting to see that because when you look at Park, I mean, they suffered through a little bit of a rough non-residential market. You know, that business was probably off between 15% and 20% in 2024 because of the interest rates and impact on the non-residential business. We are seeing that order book growth, so the production levels, the shipment levels, and the revenue levels appear to be coming back relatively strong in 2025. And on the residential side, you didn't ask about this, but I'm going to put this in anyway. It's, you know, that Geneva has stayed pretty stable at very strong levels, you know. And we, you know, for the Geneva business, they're more than double the size of the revenue of when we acquired them in 2020. So that is just staying strong, very, very strong, even in the face of the higher interest rates. And really, I think that kind of speaks to the net migration into the state of Utah and the demand for single-family and multifamily houses and facilities to live in. So we're seeing a pretty strong precast market going into 2025, and like you asked at the beginning with the steel pressure pipe business, we're seeing bidding that is going to be similar to what it was in 2024. Now, the first quarter is a little slower in the steel pressure pipe bidding this year, just by the way the project bidding falls, but we're expecting really strong second and third quarters and finishing the year pretty similar to what we did in 2024.
Julio Romero: Really helpful. Thanks so much for the call there, Julio. So I'm not sure you wanted all that, but you got it.
Scott Montross: I'll take it. So much, Ed.
Aaron Wilkins: No problem.
Operator: Thank you. Our next question comes from the line of Ted Jackson with Northland Securities. Please proceed with your question.
Ted Jackson: Thanks. Good morning, guys. Hey. I wanted to start out and maybe get more color on the tariff thing that you brought up. That was news to me. So if you could provide a little color on kind of what happened, and I assume what you're talking about with regards to the potential in the first half is that you will have to, I guess, for lack of a better term, pay these tariffs for product that was for steel that was brought in in the back half of 2024. First of all, did I read that correctly? And then secondly, can you just kind of explain, you know, kind of what that was and what the situation was? And then maybe if there's any ramifications going forward. My first question.
Scott Montross: Ted, this is really a twofold question. When you look at the tariff issues that Aaron brought up in part of the script, that was really a tariff that's a proclamation 10,783 from the previous administration. And what happened in July of 2024, the administration basically said, hey, you got to, we're going to put a 25% tariff on anything that's not been poured and melted in the US, Canada, and Mexico. Okay? So that was kind of a retroactive tariff. And we have basically, we were shipped coils by one of our steel producers that were produced from Brazilian slabs, and that happens on a regular basis. But those Brazilian slabs actually came in under the quota before it reached the quota, and the administration decided to kind of slap on this retroactive tax or tariff. And ultimately, what that did is it hit us in the fourth quarter to the tune of, I think, about $800,000 and probably hit us to a similar amount in the first quarter, which we've already built into our forecast, things like that. But that's a previous administration impact. So I'm going to stop there, Ted, and see if you want to talk about the one that's on the table now and how we're looking at all that.
Ted Jackson: That's kind of where I was going. But I wanted to start with this. So but it's like, at least a pay, or is there a chance that you would contest this and actually get, you know, a million sits back? Or is it...
Scott Montross: We've been fighting this. We have attorneys fighting this right now. But the problem is this is something that's going, we would fight this for a long time. Right? Because there's a lot of confusion over the tariff things right now, especially since the new administration has a different proclamation, which basically wipes out anything from the old proclamation. So this is going to be a long and ongoing process to be able to fight through this thing, but we've been doing that already. We have trade attorneys, and we're fighting through that from the Brazilian slab piece of this thing. So we can pretty much transition to that because that's the question in my...
Ted Jackson: Yeah, in my pre, you know, kind of the questions I wrote out pre-call, the number one question was really around the Trump administration and two parts. And the first thing was, you know, the proposed tariffs on steel and, you know, kind of how does that impact your business? How does that go into, you know, the guidance and your thought process? And if they put those kinds of tariffs in place, I mean, at some point, you know, I mean, I know you, for lack of a better term, you know, you pass this kind of stuff on to your customers, but it brings up the cost of things. And, you know, things get more expensive, you know, in basic economics. It does hurt demand. So maybe a discussion with regards to, you know, what's going on with the Trump's Trump administration's efforts on tariffs and how you see that playing out for your business.
Scott Montross: I think that's a good thing to kind of discuss a little bit because obviously, this trade policy with the new administration has had things in flux with the tariffs for a relatively, I guess, it hasn't been a long period yet. But, you know, there's a bunch of things that are interesting about it. One is what's the long-term impact of tariffs on the GDP? And there's a lot of information out there that says, hey, if you're putting these tariffs on Mexico, Canada, China, it could really impact the GDP and lower the GDP well below the 2.2% growth rate that they're looking at. And at the same time, it could obviously influence inflation, as you just mentioned. And how much is that? Is that by 100 basis points? So the thing is, it runs a little bit counter to the platform of this new administration, which makes you think, okay, is this a long-term thing? But the way we look at it because we've had to do a risk analysis around this because of, you know, where we are. So, you know, we have a, our biggest thing is we have a plant in Mexico, right? LRC Mexico. So there's some ambiguities right now, and what we're understanding is that because we buy steel in the United States, ship it into Mexico, steel that's mined and melted in the United States, and ship it back, we should be able to get an exclusion for that, right? Because that's what we're discussing and being told as we sit right now. But again, we've had to do a risk analysis around this. So we've basically got three scenarios. The first is if the request for exclusion is denied for SLRC, you know, we have, obviously, we have a lot of steel pressure pipelines. We have six of them.
Ted Jackson: We...
Scott Montross: We basically take forecasts and work and move it to the Tracy and Adelanto facilities as needed. And, you know, the overall impact on that could be, you know, several million dollars of revenue and a little bit of a hit to the gross profit, but we have five other steel pressure pipe plants. So that's one scenario. The second scenario is the U.S. mined and melted thing. We get the exclusion and, basically, we just load plans for our business plan because what that means is we're buying steel in the United States, shipping it into the Mexican maquiladora, and then shipping it back into the United States. So there wouldn't be any tariff that would apply to that. And, basically, we would just produce per plan as we're doing right now. So the other thing that's interesting about this, which probably is going to draw more questions, is that just say that the situation is that tariffs go on and Canada retaliates with retaliatory tariffs against the United States. And obviously, we have a lot of product that we produce and ship to British Columbia for their water transmission needs in British Columbia. And there are no steel pressure pipe plants in Canada. So that kind of creates a little bit of an issue. But the fact of that is that if they retaliate, we can actually produce the Canadian products at SLRC, assuming that Canada doesn't produce or file a tariff against Mexico, and ship into Canada from SLRC without missing a beat. So SLRC can be, and there's a lot of information here that's got to be sorted out. But the fact that the tariff could be filed against SLRC if we're not given exclusion is obviously negative. But if the exclusion exists and there's retroactive tariffs or not retroactive, but retaliatory tariffs filed, we can also ship into Canada from SLRC. So I think the fact that we have six plants that we can move things around between and that there's some utility between those plants really means that we can probably work around without a whole lot of damage to the steel pressure pipe business. So I've said a lot in this, and you probably have some questions in that, so I'm going to shut up for a minute and let you go.
Ted Jackson: Well, I don't know. Not anymore than that, but that was actually, if I ask Scott, that was super interesting. So thanks for the answer. I do want to shift over, you know, just finishing off some of the things with the Trump administration. You know, a big driver with regards to the bidding activity is the infrastructure funding. And, you know, there's all kinds of, you know, discussion of whether, you know, Trump's trying to reel a lot of that back in. I mean, it seems like most of what he's trying to do is a little more on the renewable side, but, you know, as you look into your bidding environment, I mean, is there any kind of concern with regards to the market that the Trump administration will pull back on funding for some of the things that you were expecting?
Scott Montross: Well, obviously, there's nothing that we see affected really in 2025. Probably the concern would be more related to the IIJA funded projects for 2026, 2027, 2028, and 2029. But I think one of the things that they learned out of the track in California with the fires and the lack of water and water infrastructure to be able to fight fires like that is you really have to be careful with not replacing infrastructure that is aged out in a lot of cases. Because we have more extreme weather events going on all the time, droughts and things like that, and there is risk to those things. And the administration was pretty hard on or pretty, I guess, they really were pointing at Newsom and the things that they didn't do in the state of California to make sure that they had the ability to offset or to control things like this and prevent them from happening. So I think things like that start to take more precedence, and could it affect some of that stuff out in the future with the IIJA funding? Well, maybe. But I think they're going to be really careful with doing that because this is really infrastructure out there that needs to be replaced and needs to be put in place not only for safety but for support of growing communities all across the country. So we don't see that happening at this point, Ted.
Ted Jackson: Okay. A couple of kind of just smaller ones. You know, your, you know, the SPP business is clearly humming. It's super strong. You know, you've got, or, you know, if you're in a fabulous macro environment for, you know, we talk more about, you know, kind of where that business is from a historical standpoint in terms of revenue. But I'm kind of curious with regards to tons, you know, like, you know, what's the, you know, if you looked at, say, the fourth quarter of 2024, and I'm not asking for a number, full number in terms of tons, but, you know, the tons of products you produced, how does that stack up against your kind of historic high? Where are you, where are you within, you know what I'm saying? Where, you know, you know what I'm saying? Like, you know, in terms of fundamental product delivery, where are you relative to where, like, the best has been in the past?
Scott Montross: Yeah. I would say that they're probably the overall tons, our overall tons in the fourth quarter this year on steel pressure pipe versus the fourth quarter of last year were significantly up, and tons for the year were significantly up versus the previous year. But what I would say versus historical is we're seeing less tons in that business. Now you say, oh my god, is that a demand thing? But we're really not seeing fewer projects. We're seeing fewer tons. And I think that starts to go to the grades and quality of the steel products that are being produced now, the efficiency of design of the water transmission projects, those kinds of things. So I think that that's evolved too. So we're seeing a little bit fewer tons in that business. But really, we're seeing a similar amount of projects, and I think it's really the efficiency of engineering on that side of the business that's starting to take hold, and they're not having to put as thick of steel, if you will, as significant steel on projects because they have grades that can handle higher pressures and things like that. So really, I think that's what that is at this point. And, you know, for us, we've got 50, 52% of the marketplace, so we just kind of evolved with the marketplace and work to be as successful as we can with the conditions as we find them. But we're seeing that business is actually growing a little bit at this point. I think tons are going to start to go up a little bit. But I think it's the efficiencies of the lines that are being built, Ted, more than anything at this point.
Ted Jackson: Two more questions. One of them is a very, very easy one, but just, like, maybe a little more color on where you are within the M&A strategy. I mean, you've got the SPP business humming. You know, I mean, it's going to be hard for you to show, you know, dramatic growth in that core business given, you know, the market share you have and, you know, kind of where you're at. I'm not saying it won't grow, but, you know, and then on the Geneva business, you clearly have, you know, room to run, and you're executing well with your organic strategy. But to really kind of kick, if you would, you know, the business into the next year, that M&A portion is, you know, it's a pretty important side of things. So, you know, kind of, you know, where, you know, talk a bit about the process you are with M&A, you know, like, you know, do you have any opportunities, irons in the fire that are, you know, within, you know, kind of our view, for lack of a better term, like forecasting horizon. You know what I mean? Like, is there a chance you would have something happen this year or within the next two years? You know, how many things have you looked at, you know, how close have you come in the past, whatever you can provide on that front. And then I won't follow back to that.
Scott Montross: We've got a couple of things that we're looking at at this point that are moving down a path. You know, whether they could happen this year or early next year, I think, you know, it could be some plan. You know, so there are opportunities that are coming forward for us to be able to act on and execute on. And I would say on the ones that we're looking at, we're not on the starting line. We're trying to pass the starting line at this point, so there are things in play. You know, the real interesting thing is when you look at the overall strategy of the company, the strategy is to grow on the precast side of the business, right? So, and we have the strategies, we want to be a billion-dollar company, which, you know, we're kind of halfway there. So we've got to grow a whole lot to be able to get to a billion-dollar company on the precast side. And the things that we're seeing right now are like $50 million top line, $45 million, those kinds of top lines. So similar to what we got with Geneva, right? So there's a lot of those things that have to happen along with the organic growth that we're looking at that have to happen to get us there. The key for us is going to be creating some kind of mass going forward where it's allowing us to look at a little bit bigger opportunities. It might be things that are like $200 million of top line to be able to grow to that level at the appropriate cadence, but at a little bit quicker pace. So I think we're focused right now on the idea of we've got a couple in front of us that look pretty good. But the other piece of it is how do we create more mass to be able to do some of these bigger ones that might be out there going forward? And that's kind of the thing that we're wrestling with and looking at creating our updated strategy around the growth in the precast business. If that makes any sense.
Ted Jackson: It does. And then my last question, just kind of this way, kind of how I look at your business, just a quick one, like, if you were to look at your SPP COGS, like, what percentage of your COGS was consumed by steel purchases?
Scott Montross: It's right now about 29% to 30%. It's pretty similar to what it was last year.
Ted Jackson: Alright. That's it for me. Hey. It was a great quarter. Looks like things are, you know, continuing to... Congratulations.
Scott Montross: Hey, Ted. Great talking to you as always.
Operator: Thank you. Our next question comes from the line of Jean Valiz with D.A. Davidson. Please proceed with your question.
Jean Valiz: Hi, good morning and thank you.
Scott Montross: Good morning. Yes. Good morning.
Jean Valiz: Quick clarification, and I'm sorry if I missed it, but what are your reps assumptions for precast margins for the first quarter of 2025?
Scott Montross: Assumptions for precast margins for the first quarter of 2025. I think they're in line with, I don't know, I think they're in line with what the first quarter of 2024 was. Expected to be in a similar area?
Jean Valiz: Alright. Thank you.
Jean Valiz: And just looking at SPP the backlogs. You know, taking all into account all you said about your assumptions on steel price, and the could be being relatively alright. In line with 2024, how does that just carry out your margins through the year? And are we seeing levels higher than 2024 or in line with 2024?
Scott Montross: No. I would say, I mean, obviously, we ended 2024 with the growth in our backlog up to a strong $310 million, up from about $282 million the previous quarter. So the backlog was growing. I think what you're seeing in margin level is that as long as we have demand the way we see it right now, that's going to stay relatively steady, with some upward pressure on the margins as we go out through 2025. So I think you're coming into a period, and we hope we're coming into a period where these demand levels that we're currently seeing in SPP are okay demand levels, but they're not great. They're not great. Okay? As we get out into the next couple of years in front of us, we think with the IIJA funding, it's going to push those demand levels higher. And once those demand levels are coming up a little bit higher, what you're going to see is you're going to see instances, we think, where the steel pressure plate margins are starting with a two instead of a one. So I think we're kind of coming into that realm as long as the demand hits the way we think it's going to hit.
Jean Valiz: Got it. Appreciate that. And looking at the residential side, I mean, you talked about the activity being really strong.
Scott Montross: Okay.
Jean Valiz: Can you talk about a little bit of how you see the business developing through 2025? And as a follow-up, do you when do you expect for that nonresidential to, you know, make its mark on the model here and then on the margins perspective?
Scott Montross: Okay. So let well, I'll start with the nonresidential side. I think the nonresidential side starts to really show up probably on, and the key to our business that's mainly nonresidential, Park, is really production level, right? And we think that those production levels are going to probably start raising once we get toward the end of the first quarter and in the second quarter, we think that we see the results of those order increases really hit toward the end of the first quarter and then carry through the end of the year and improve those margins back to relatively normalized levels for the nonresidential business. And what was the first question again?
Jean Valiz: Yeah. On the residential side. Yeah. Just kind of want to hear about the, you know, just a sort of cadence of work that you expect through 2025. And I guess, similarly, do you see it progress and, you know, have an impact on margins possibly on the second half, or are you seeing just normal steady levels through all four quarters?
Scott Montross: Well, I think you see no. You see seasonality, especially in the residential side of our business because the three plants are in Utah, so they tend to get a little bit of snow in Utah. So it makes the first quarter, you know, a little bit lighter quarter. And then the second and third quarters are the big ones. And then the fourth quarter starts to fall off because the ground starts to freeze and a lot of the contractors and construction activity starts to slow down. But like I said, I mean, if you look at the Geneva business in 2024, I mean, Geneva was somewhere in the area of $83 million worth of revenue. And like I said, when we acquired them in 2020, they were about $41 million in revenue. So it's double the size. Well, we have a plan. We put the new Exact 2500 in Salt Lake City, manhole and RCP machine, and we also have additional plans this year for investment projects in the Geneva facilities that are going to help continue to, well, create some new product capabilities for us. And it helps us to continue to build that top line. We expect that we, and we have a plan in place to be on, by the time we get to the end of 2026, to be a $100 million run rate at the Geneva facilities, $100 million annual run rate at the Geneva facilities by the time we get to the end of 2026. So that's going to increase absorption, and it's going to allow those margins that we get at the Geneva business to keep pressing up because the Geneva margins in 2024 increased over where they were in 2023 by about, I think, about 100 basis points or so. It was what's on the nonresidential side that pulled it down because of the demand on that piece of business.
Jean Valiz: Got it. Appreciate that color. And just a quick follow-up here. You mentioned the $100 million Geneva runway by the end of 2026. Could you perhaps just talk about a little bit about ARC, N C, let us know, do you have any sort of revenue outlooks for that in the next couple of years?
Scott Montross: Well, we have the same goal for Park USA at the end of 2026 as we do Geneva. We'd like to see both of those facilities each on a $100 million run rate by the end of 2026.
Jean Valiz: Okay. Appreciate it. Thank you so much.
Scott Montross: No problem. Hope I can.
Operator: Thank you. That concludes our question and answer session. I'll turn the floor back to Mr. Montross for any final comments.
Scott Montross: Just a few things before we end. And as we've talked about, we faced some headwinds in 2024, a tough non-residential market. We had the effect of that market on revenue and profitability for 2024, as well as the issue that we had with the previous administration's application of ad hoc tariffs that affected revenue and profit for the fourth quarter. Yet, we produced a fourth quarter that was pretty strong by historical standards and a full year that had record sales for SPP and precast, a record annual gross profit moving toward $100 million and resulting in net income and free cash flow both to $3.40 a share, demonstrating the strength and quality of the earnings that we had. And as we head into 2025, we're facing different headwinds in 2025 really related to tariffs. But to be completely open, you know, in my going on thirteen years in this role, I can't remember a time that we didn't face headwinds with this business. I think the difference is now we're very well positioned and geared to handle the headwinds, and we expect to be successful with the conditions as we experience them. As we go into 2025, we're going in with a very strong steel pressure pipe backlog, $310 million strong, expecting a big year like we saw in 2024. We have a surging precast order book that's over $61 million and expect a very, very strong year for the precast business and a pretty good year for the SPP business. We're going to continue to focus on safety for our employees and improving margins, growing both organically and through M&A, and focusing on driving shareholder value. As Aaron mentioned, we're anticipating putting in place a new share buyback program here in the next couple of months. So we're expecting a good 2025. I'd just like to thank you all for your attendance here and your participation and attention to this. And we look forward to talking to you again in a few months in the May timeframe when we're doing the next earnings call for the first quarter of 2025. Thanks again, and have a great day.